Operator: Welcome to the Hertz Global Holdings first quarter 2008 earnings conference call. (Operator Instructions) The company has asked me to remind you that certain statements made on this call may contain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Forward-looking statements are not guarantees of performance and by their nature are subject to inherent uncertainties actual results may differ materially. Any forward information relayed on this call speaks only as of this date and the company undertakes no obligation to update that information to reflect change in circumstances. Additional information concerning these statements is contained in the company’s press release regarding its first quarter results issued yesterday and the risk factors and forward-looking section of the company’s 2007 10-K. Copies of the 10-K are available from the SEC, the Hertz’s website or the company’s investor relations department. I would now like to turn the conference over to our host Lauren Babus.
Lauren Babus: Good morning and welcome to Hertz Global Holdings first quarter 2008 conference call. You should all have our press release and associated financial information. We have also provided slides to accompanying our conference call. You can access these documents at www.Hertz.com/InvestorRelations. The slides can be found under the webcast presentation link. In a minute I will turn the call over to Mark Frissora, Hertz’s Chairman and CEO. Also speaking today is Elyse Douglas, Hertz’s Chief Financial Officer. In addition, we have Joe Nothwang, Executive Vice President and President Vehicle Rental and Leasing the Americas and Pacific; Michele Taride, Executive Vice President and President Hertz’s Europe Limited; and Gerry Plescia, Executive Vice President of Hertz with us for the Q&A session. Today we will use certain non-GAAP financial measures all of which are reconciled with GAAP numbers in our press release posted on our website. We believe that our profitability and performance is better demonstrated using these non-GAAP metrics. Our call today focuses on Hertz Global Holdings the publically traded company. Results for the Hertz Corporation differed only slightly as explained in our press release. Now, I’ll turn the call over to Mark Frissora.
Mark P. Frissora : As you saw in the press release, Hertz delivered a solid performance this quarter matching our results for first quarter 2007. We more than overcame challenging US economic headwinds which impacted our car rental and equipment rental business. Historically volumes in the first quarter of the year are at the lowest and we work harder to cover fixed costs. This year the first quarter was also characterized by soft volume and pricing pressures which we were able to offset with a strong focus on cost control and efficiency improvement. Please turn now to Slide Five as I review our quarterly results. We achieved total revenue for the quarter of over $2 billion an increase of $118 million or 6.1% across our businesses with good growth in both car rental and equipment rental. On a currency adjusted basis revenue grew 1.9%. Corporate EBTIDA of $235 million in line with Q1 2007 represented 11.5% of revenues. Adjusted pre-tax income improved 6.2% year-over-year while adjusted net income of $6.5 million was slightly higher than 2007 and adjusted EPS of $0.02 matched the prior period results. Levered after tax cash flow [inaudible] for the last 12 months was $197 million compared to $462 million for the same time span ending March 31, 2007 primarily due to the increase car rental net fleet equity requirement. This relates to the change in the risk composition of our fleet mix in 2006 and timing issues in the international fleet. When we transitioned to the lower costs sale and lease back fleet financing facility in the UK in December we knew there would be an adverse impact on corporate cash flow for the first quarter which would reverse itself in the second quarter. This offset the cash flow benefit we derived from improved earnings and working capital. I was especially encouraged by the improvement in the working capital days outstanding which went from -36.4 days to -38.6 days, a $111 million improvement. In spite of a difficult US environment our business model continues to show improvement in this important cash flow measurement. I want to point out to everyone on the call again that this is a negative working capital. Most businesses would love to be in a position to report negative working capital. In general this means we are collecting faster from our customers than we pay our suppliers. We think this is a competitive environment versus our US car rental competitors. In worldwide car rental total revenues grew 6.3% driven by a 4.6% increase in transaction days which is partially offset by a 2.6% decline in rental rate revenue per day or RPD. Part of the RPD decline relates to our continued strategy to driver leisure and off airport growth which are typically longer lengthen rentals. In the US the profitable mix shift from airport to off airport accounted for 22% of the RPD contraction. In HERC, our equipment rentals business revenue grew 5.4% to $411 million representing volume growth of 2.6% and a 1% decline in worldwide pricing. Given the overall weak economy I am very pleased overall with our first quarter performance. On the Q4 earnings conference call I highlighted diversification of our revenue stream and how we stood out from the competitors because the Hertz brand is the only truly global brand. Please turn to Slide Six. On a consolidated basis we derived over 33% of our total revenues this past quarter from our international operations which compares to 28% in the first quarter of 2007. International growth and network expansion remain key strategies for the company as evidenced by the fact that our international revenue growth inclusive of currency was 24% this past quarter. Within our company operations product and market diversification continued to enhance revenue growth. Let me give you some examples: the US off airport market generated $232 million of revenue in the quarter driven by 8.5% transaction day growth. The $10 billion off airport market consists of three fairly equal sectors, replacement which is a key part of our growth strategy, commercial and the local retail business. Our insurance replacement transaction days in the first quarter grew 13.7% year-over-year which we believe was stronger than the market. Hertz drove the improvement through increases account penetration in the top 200 plus insurance companies. Our US airport volume was boosted by an increase of almost 20% in in-bound travel as tourist and shoppers took advantage of the weaker dollar. This represents 14% of total US airport revenue. Domestic and international customers continue to rent in a variety of specialty vehicles from our Prestige, Fun and Green collections. Our equipment rental initiative which includes general rental, pump, power generation and trench shoring grew faster than our base business. Internationally our HERC which is our equipment rental operations in Canada and Europe reported 34.2% revenue growth including foreign exchange which helped drive worldwide revenue growth. Across all businesses and geographies we achieve significant account resigning and gains among corporate and replacement customers. In addition to our already existing relationships with many airlines and other travel industry participants this quarter we added and renewed travel agreements with partners such as Northwest Airlines, Jet Blue, Jet Two Airlines and Travel Bag. In the first quarter Hertz signed or renewed seven major national accounts with companies in diverse industries. We continue to penetrate the online leisure market and over 28% of worldwide car rental revenues in the first quarter was booked through www.Hertz.com and third party websites, an increase of almost 14% year-over-year with strong growth in both the US and abroad. Despite challenging macros affecting our businesses we continue to make investments in our company. In the first quarter total spending on our brand, our operations and our people increases incrementally by $16 million over the prior year. Net of closures we actually opened up 75 new car rental locations worldwide, 54 in the US and 21 internationally and seven stores in worldwide equipment rental. We expect to add new locations this year at about this pace. Included in those locations additions are the acquisitions made during the quarter. We acquired five licensees representing about $29 million in annual revenues and earlier this month purchased our operations in the Czech Republic and Slovakia. In equipment rental we acquired a power generation rental company in Spain Quilovat and Aerial equipment rental company in Connecticut which are expected to add over $15 million in revenue in 2008. Let’s go to Slide Seven and I will give you an update on our cost efficiency initiatives. On the last earnings call we talked about outsourcing property and facilities to C.B. Richard Ellis and establishing our COE, center of expertise for the retained responsibilities. You may recall that COE is a global center of expertise focused on a specific function or discipline within the company. The COE model helps us standardize and reengineer our processes within that discipline to lower our costs and drive efficiency throughout the company. During the past quarter we announced several other major COEs including human resources which cover labor relations and talent management, information technology, marketing which will help us leverage our spending on our brand and finance. When we started considering outsourcing finance was a strong candidate but after a thorough review we determined we could achieve at least the same process efficiencies and costs savings through internal reengineering. There will be additional COEs established during the remainder of 2008. We also signed two additional business process outsourcing contracts, one for servicing information technology with IBM, an existing partner in an extended role and the other was ICG Commerce who partners with Genpack in Europe as the global procurement partner covering worldwide procurement. We remain on track to deliver the $250 million of savings we had projected for this year $75 million of which we expect will flow through to adjusted pre-tax income. We’ll use the other $175 million for investment in new stores and our businesses for inflation in fleet and other costs and to offset pricing pressures in our operations. This $250 million is in addition to the $187 million that we announced in 2007 resulting in a cumulative 2008 savings of approximately $440 million. We are now projecting total savings in to 2010 of $800 million which includes the estimated benefit of outsourcing and process reengineering that we have previously discussed with you. Today, I would like to focus on fleet management for our businesses and explain how we are coming more efficient and cost effective in managing the life cycle of our vehicles and other revenue earning equipment. I’m on Slide Eight now. Fleet holding costs were redefined as depreciation and interest; typically represent about 30% of our revenues, the largest single category of expense. To give you an idea of the leverage, if we improve fleet efficiency by one percentage point that’s an estimated annual savings of about $30 million for worldwide rent-a-car and $7 million for worldwide equipment rental. If we can reduce our fleet holding costs by 1% we would save approximately $25 million annually. On our fleet purchases of approximately $9 billion each year a one-percentage point reduction in acquisition costs would improve levered corporate cash flow by approximately $15 to $20 million. In fact, during the quarter we improved both domestic and international car rental fleet efficiency by one percentage point year-over-year. With $11 billion in net revenue earning equipment as of March 31, 2008 it is easy to see how small process improvements can result in major benefits to our margins. The fleet related initiatives I will discuss are long-term projects and the benefits will be evident over the next two years or more. Some of the reengineering projects are in the pilot stage and currently generate savings but the bigger benefits will be seen as we roll out implementation throughout the organization. Let’s turn first to worldwide car rental which is Slide Nine. We have diversified the composition of our fleet so that the largest concentration with a single manufacturer is now about 26% compared to 44% four years ago. In addition to enhancing customer satisfaction, this diversity also limits our exposure in the vehicle resale markets. In the US we no longer purchase all of our vehicles through manufacture agreements but have also developed local relationships with car dealerships to make out of stock purchases. The benefits of this are many. First, we gain access to a greater variety of vehicle than are typically available to fleet purchasers at a reasonable price. Second, establishing the relationship frequently leads to dealer replacement business for our off airport operations. Third, it creates an additional disposal channel where we sell cars directly to the dealer. And fourth, we don’t need to commit in advance to our full fleet plan for the year. This allows us to purchase additional fleet more opportunistically and lets us flex the fleet size more easily in uncertain economic times. From a portfolio management perspective we found that about 90% of the revenue came from about 30% of the vehicle classes. Having 14 different model of standard size SUVs representing roughly 63 different trim configurations, some with five seats, others with seven, some two wheel drive, others four wheel drive is not efficient. By simplifying the car classes we can standardized replacement parts, reduce maintenance downtime and costs and make it easier for our customers to book their rentals. Optimizing vehicle mix and vehicle trim packages within each of the remaining car classes helps drive down our average holding cost per vehicle. A key part of our Hertz’s improvement process and fleet reengineering efforts is reducing the number of vehicles that are unavailable for rent at any time. If we can improve that metric by just 20% we could save $30 to $40 million by trimming the average fleet size while maintaining the same level of rental activity. Let’s now discuss another important element of overall fleet management. I would now like to turn to fleet disposal. With approximately 70% of the worldwide car rental fleet on a non-program basis it is important that we broaden our disposal efforts in to other channels. In Europe you will recall that most of our vehicles are purchased on a program basis and the wholesale market is the only developed resale channel for risk vehicles. Therefore, we are focusing our efforts on the US where virtually all of our car sales in the US happen in the auction houses. This past year we increased the number of auctions and auction sites we use which saves transportation costs and reduced the days to sale. Our future vision is to diversify our sales channels by expanding dealer direct sales and web based sales. We have more than doubled field car sales operations staff and are exceeding our internal sales goals. We also continue to work with our option partners to increase our web based sales activity. Overall, this diversification will reduce our days to sales by an average of eight days. On www.HertzCarSales.com our retail customers can locate the car of their choice and begin the purchase process or be directed to a nearby physical location. We’re in the process of establishing a retail network that will enable us to sell cares to the public in all 50 states. Ultimately, and this will take time, we would like to see at least 40% of our vehicles sold directly to dealers or other customers. This diversification will reduce selling costs and the number of days to sales which will have a beneficial impact on expenses, working capital and cash flow. We estimate that we can improve net sales proceeds by approximately $200 per vehicle. Let’s talk now about HERC where we are also improving our fleet portfolio management to drive fleet related savings. While we remain committed to growing our revenue we believe we can better manage fleet growth against anticipated peak demand levels. This will allow us to be more selective about the business we take during those peak periods and should be beneficial for pricing as well as profitability. At HERC too we are consolidating fleet categories. For example, we currently rent aerial work platforms that are 80, 85 and 86 feet high with the 86 foot high platform can usually be used for all three purposes. As in car rental this will standardize replacement parts inventory, reduce maintenance costs and simplify fleet management. Over the next few months we will be rolling out our GEO pool concept which centralizes fleet requirements for our equipment rental branches located within one hour of each other. By expanding our capabilities to share equipment we will increase fleet efficiency and reduce our CapEx investment. Another critical aspect of fleet management being implemented at HERC will be optimizing the fleet holding period by measuring at various points in life cycle the profit contribution of a piece of equipment compared to its residual value. To sum up, our objective is to lower our fleet cost through portfolio and life cycle management implementing more strategic acquisition and disposal practices in channels, optimizing the holding period and rationalizing product categories to streamline fleet processes. Our mission statement is simple; to be the most customer focused, cost efficient vehicle and equipment rental company in every market we serve. We are building this in to our corporate D&A. I just spoke about our costs savings but I am equally passionate about customer satisfaction and continuous improvement. Let’s turn to Slide 10 and start with the roll out of the Hertz improvement process, our lean six sigma program. So far we have trained almost 13,200 employees and we plan to train an additional 1,500 people over the rest of this year. By the end of 2008 we should have trained staff in car rental and equipment rental locations worldwide that represent about 60% of our consolidated revenues. It has been rewarding to see how quickly our employee take to this program and cascade best practices throughout the organization. We have talked on previous calls about our net promoter score initiative which measures a customer experience on a real time basis. Even while Hertz is under construction we continue to focus on customer satisfaction as evidenced by significant increases in scores. North America rent-a-car is up nine points year-over-year and Europe rent-a-car improved by about 11 points since last April. In our continuing efforts to enhance the customer experience we’ve added click to chat on www.Hertz.com under frequently asked question for customers that need support during the booking process. Starting this summer we’ll be introducing a new online express service designed to get you to your car faster. First customers will check in online at www.Hertz.com, then at one of the top US airport locations they will use self service express kiosks that will get them to their car quickly. Check in online, wait less in line. It’s one of the many ways that we are committed to reinventing the speed and convenience of renting with Hertz. With that strategic overview I will turn the call over to Elyse.
Elyse Douglas : I will focus my remarks today on the operating environment and outlook for car rental and equipment rental and will be referring to our first quarter 2008 operating data in the press release. I will begin with US rent-a-car on Slide 11. Hertz’s domestic rent-a-car pricing in the third quarter as reflected in RPD finished below prior year by 2.9% for the quarter driven by a decline in airport RPD of 2.3% and an off airport RPD of 2.4% and the impact of different growth rates in the two sectors. Transaction day growth in the US was 2% reflecting the strong off airport rental activity. The pricing environment was generally mixed in the first quarter with some improvement as the quarter progressed. By March, RPD was about flat with prior year as the industry benefitted to some degree from the shift of Easter in to late March. The airport pricing erosion experienced by the industry in Q4 07 carried in to January however, Hertz and others attempted to raise pricing throughout the quarter with mixed success. The pricing outlook in the US is improving however. Over the last two weeks most of the industry began to support higher pricing for the May forward time frame. Hertz in particular raised prices this week and so far the response has been mostly positive. Looking at another important operating metric, average rental length in the US increased by 5.6% in the first quarter with growth across all major customer categories. This reflects the shift away from traditional booking sources to online leisure rental sources, strong growth from international in-bound customer and growth in the off airport sector particularly in insurance related business. As we pointed in earlier calls while rental rates are lower for online leisure and off airport rentals they are profitable due to longer rental periods and lower transaction and vehicle costs. We expect the shift in mix to continue as we grow the off airport and online leisure components of our revenue base. The recent maintenance related flight cancellations had little if any impact on our volumes as one way rentals offset cancellations. We don’t expect the impact of Aloha and ATA Airlines shutdowns to have a significant impact. Hawaii is small, representing less than 3% of our US car rental revenue and our margins are strong. The merger between Northwest and Delta resulted in minimal route overlap and our business relationships with both parties are strong so we do not expect to see volumes affected. International car rental produced year-over-year revenue growth of 21.9% which was driven by strong transaction growth in Europe in all customer categories, business, leisure, vans and replacement rentals. Despite the weakness of the US dollar we experienced 10% growth in source US transactions. While RPD for international car rental was 2.8% lower this was primarily the result of the shift to longer rentals particularly in Europe where the average length increased 7.9% for 5.5 days. Looking forward in Europe advance reservations are strong. Ryan Air is reopening key routes so we expect to see volumes increase in those markets and source US reservations have slowed due to continued weakness in both the US economy and the dollar. In the second quarter we are seeing some signs of improved pricing in Europe as the fleet cost increases of the 2008 model year which began in January started filtering through the industry. However we expect our reported RPD will reflect ongoing shift in product mixes previously mentioned. Turning to Hertz on Slide 12, revenue growth in the first quarter was 5.4%. Although we continue to be impacted by the softening US construction market demand in our industrial business, international operations and specialty equipment remains fairly strong. This helps offset the continued decline in earth moving equipment rental activity. In North America revenue from residential and non-residential construction dropped from 50.6% of total revenues to 49.5% year-over-year as fragmented and industrial revenues increased as a percent of total revenue. Our foreign operations particularly Canada experienced stronger growth than the US in the first quarter. Sequentially however the organic growth in France and Spain is slowing but we had incremental revenue from the Quilovat acquisition which was completed earlier this year. To be more consistent with how we believe our competitors and the industry report same store revenue growth we will not include revenues from new equipment sales and initiatives such as pumps for power generation added to existing stores in the same store revenue growth calculation. In Q1 revenue growth on this basis was flat. Using the previous methodology same store revenue growth would have been down less than 1%. In Q1 2007 same store revenue would have increased by 5.4% using the new method. In our planning for 2008 revenue and profitability growth we forecasted a double digit in earth moving business which represents about 25% of our revenue and continued growth in industrial and fragmented sectors. Hertz will continue to focus on its strategic efforts to diversify its customer base and grow industrial market share. With non-residential building construction slowing Hertz continues to target areas such as petroleum refining, oil and gas, power, manufacturing and infrastructure. Compared to first quarter 2007 worldwide pricing declined by about 100 basis points driven by a 1.2% decline in the US and smaller declines in the other geographies. This pricing pressure is primarily due to the slowing of construction demand in most of our markets. We believe the industry will continue right sizing fleet through the second quarter. At March 31, the average age of our worldwide fleet was 30.8 months versus 27.8 months a year earlier. Based on current conditions we expect the average age of our fleet to increase by a few more months in 2008. However our fleet is still relatively young and this remains a competitive advantage for us. In the quarter net CapEx for Hertz was $20 million which includes a foreign exchange impact of approximately $6 million. As Mark mentioned one of our key focuses is on improved fleet efficiency and in light of economic conditions we have moderated our investment in new fleet using existing equipment to fleet new Greenfield locations. For full year 2008 we now expect total equipment rental fleet net capital expenditures to be under $150 million. Let me now turn to our consolidated financial results for the quarter shown on Slide 13. As Mark reported earlier we had strong first quarter revenue growth with consolidated revenue of $2 billion an increase of 6.1% year-over-year. We were encouraged that despite a difficult economic environment both Rent A Car and Hertz delivered strong revenue growth of 6.3% and 5.4% respectively. On a GAAP basis our profit metrics this quarter were significantly better than first quarter 2007. Pre-tax loss improved by 38% to $56 million. Net loss declined from $63 million to $58 million an improvement of 7.8% and loss per share was $0.18, $0.02 better than a year earlier. Adjusted pre-tax income of $17.1 million was 6.2% higher and consistent with Q1 2007 as a percentage of revenue. Adjusted net income was $6.5 million slightly above the prior year and adjusted EPS using the December 31, 2007 share count of 325.5 million shares was $0.02 the same as the prior period. Corporate EBITDA in the first quarter was $235 million slightly below 2007. Car rental corporate EBITDA was lower this year because revenue growth was driven by increased transaction days while pricing declined. To service the volume growth our fleet size increased by 3% and fleet related expenses were greater than the year before. Hertz corporate EBITDA was $181 million or 4.3% higher year-over-year due to higher revenues. In the first quarter we maintained the adjusted pre-tax margin achieved in the first quarter 2007. As a result of our cost savings initiatives direct operating; selling, general and administrative; and corporate interest expense on an adjusted basis declined by 200 basis points as a percentage of revenue. However this was offset by higher fleet carrying costs due to higher per unit costs and larger fleets in the quarter. Total cash interest expense during the quarter was flat with prior year with the increase in net fleet related interest offset by the reduction in net corporate interest expense. In the international fleet facility our pricing increased by 100 basis points. This tick up was in accordance with the terms of the original agreement. This increase was offset by lower net corporate debt balances, reduced borrowing margins in our bank financings as a result of re-pricing actions we took in 2007 and lower overall base interest rates. Adjustments to our GAAP results total $72.9 million in the first quarter primarily due to $24.8 million in purchase accounting, $23.1 million in restructuring and related costs and $14.5 million in non-cash debt charges. Now I would like to take a few minutes to discuss fleet utilization and residual values which are shown on Slide 14. In the first quarter fleet efficiency which is defined as the percentage of days a vehicle is rented for both US and international car rental improved by one percentage point compared to prior year. During the quarter we tightened fleet levels and saw efficiency improvements kick in. In Hertz our fleet efficiency calculated by dividing total Hertz revenue less equipment sales and other revenue by the average fleet value was 2.6 percentage points below prior year as we continue to re-balance our fleet away from earth moving equipment. The decline in pricing understates our efficiency but as we implement the initiatives Mark discussed we expect fleet efficiency will improve. Let me address the issue of residual value starting with US car rentals. Those of you who follow the Manheim Index saw that the quarterly average for the first quarter decline by 4.7% compared to Q1 2007. The Manheim Index is for all makes and models of vehicles and for all ages and is not representative of our rental car fleet. In the first quarter we sold 29,300 cars or about 6,000 more than in 2007. The average residual value as a percentage of the initial cap costs of the vehicles declined by only 89 basis points year-over-year. We have said that our residual performance is not as impacted as Manheim because our fleet is younger, we are not overexposed to any single manufacturer or model and we can sell fleet more selectively. This was certainly borne out in the first quarter. At March 31, 2008 the percentage of non-program cars in the US fleet increased year-over-year from 61% to 73%. The decision to purchase vehicles on a program or non-program basis is based on a model-by-model economic analysis. We continue to purchase higher cost vehicles such as SUVs and specialty vehicles on a program basis to reduce the risk in our portfolio and allow us to right size our fleet more quickly after the summer peak. As Mark mentioned in 2008 we will continue to develop alternative sales channels particular online which will allow us to maximize our residuals and dispose the vehicles more quickly. In Europe the majority of our vehicles are program cars and we sell our non-program cars to wholesalers or through our small network of retail sales locations in France. In the first quarter residual values were under pressure as well. At Hertz the used equipment market continues to be relatively stable and is still maintaining good residual values among almost categories of equipment although earth moving remains under pressure. As you may know Hertz typically sells most of its equipment through retail or wholesale channels which provide better residual values and net sales proceeds than the auctions. Although this is still our long-term strategy in the first quarter we sold more fleet at auctions to expedite our fleet balancing initiatives which reduced used equipment sales profits in the quarter. Just a reminder that, the deprecation rates for both business units revenue earning equipment are reviewed quarterly and adjusted as appropriate to minimize any gain or loss on sales. It is important not to be overly focused on residual values or loss on sales. The true cost of fleet is the all in holding cost that is depreciation expense. Based on our current forecast we still expect car rental depreciation expense per car to increase by 2% to 4% year-over-year in the US and by about 10% in Europe, although the absolute vehicle depreciation per unit for Europe remains below that of the US. In the quarter we were particularly encouraged that our net US fleet cost increased by only 2.4% on a per unit basis. We have not had any issues obtaining adequate fleet in any geography. As you can see on Slide 15 our balance sheet remains in excellent shape. At March 31 our consolidated leverage was 3.0 times, and the consolidated interest coverage ratio was 4.0 times. These are improvements over the prior 12 month period and well within the covenant limits set in our financing agreement. Total debt at March 31 was $11.6 billion consisting of corporate debt of $5 billion and fleet debt of $6.6 billion. On a net debt basis corporate debt was $4.2 billion compared to $4 billion at year end and fleet debt was $6.6 billion unchanged from year end. Year-over-year we reduced net corporate debt by $197 million from March 31, 2007. We believe we have more than ample liquidity to support our 2008 debt maturities of $214 million as well as anticipated growth. Subject to borrowing base availability at March 31 we had additional capacity of $5.6 billion consisting of $3.5 billion in fleet financing, $1.4 billion in corporate credit facilities and $729 million in cash. Approximately 35% of our average debt at March 31, 2008 had interest calculated on a floating rate basis which will let us benefit from lower base interest rates in 2008. Let me spend a minute on the concerns in the market regarding our US fleet financing. At March 31, there was $4.5 billion outstanding under various US asset backed notes and we have a variable funding note facility of $1.5 billion which was unused a quarter in. Our upcoming fleet debt maturities are $55 million in May of 2008 and $1 billion in February 2009 although as is typical in asset backed securitization there is amortization leading up to the maturity dates. While we have sufficient capacity to refinance these maturities under our existing debt agreements we have already started reviewing refinancing alternatives including structures that do not require a monocline insurance rep. We are encouraged by our discretions with lenders and we believe that we will be able to raise funds in the ABS market this year and while we do expect our borrowings spreads to widen since we issued the ABS notes at the end of 2005 much of this increase should be offset by lower base rates. We will keep you informed of our progress. Let me address investors concerned about the monocline insurer’s performance and the impact on our US ABA debt which is wrapped by [AMBACK] and NBIA. The downgrade of either monocline by the rating agencies has virtually no impact on our fleet financing. If a monocline were to go bankrupt our bonds would go into a controlled amortization period which means that as cars are sold proceeds from vehicle dispositions would go to repay bond holders. There is no impact on Hertz’s rental revenue. Given the nature of the risk [inaudible] we have the flexibility to extend the holding period of the cars thereby delaying debt repayment for a period of time. If this were to occur the most likely outcome would be a negotiation with the bond holders to eliminate the amortization in exchange for changes to terms and conditions. If we were unable to come to terms with bond holders we have corporate cash and liquidity as well as cash within our lifetime exchange program to fund in fleet purchases and as I mentioned we believe there is still ample liquidity for rental fleet financing. Moving to Slide 16, the full year effect of income tax rates for 2008 is projected to be approximately 34%. However in the first quarter because of the seasonality of our business and valuation allowances in certain foreign jurisdictions the GAAP effective income tax rate was 5.3%. Cash income taxes paid in the first quarter were $8.9 million and are projected to be $65 million for the full year. Total company net capital expenditures for property, plans and equipment, that is investments in our facilities, systems and service vehicles were $47 million for the quarter an increase of $15 million year-over-year as shown in the levered cash flow in the press release. We expect to spend about $200 million in full year 2008 to maintain our facilities and operations. On a consolidated basis cash flow from operating activities was $1.1 billion for the first quarter primarily due to strong cash earnings and working capital performance. As Mark mentioned earlier an important focus for Hertz is cash flow and de-leveraging. We generate cash flow from earnings and given the liquid nature of our revenue earning equipment we also generate cash in periods of reduced demand as we de-fleet. Given the seasonality of our business it is best to look at levered cash flow over a 12-month period. So please turn to Slide 17. For the 12-month period ending March 31, 2008 levered after-tax cash flow after fleet growth was $197 million compared to $462 million for the same period a year earlier. On the positive side earnings improved by $112 million, better working capital management provided $170 million and Hertz fleet growth was $26 million lower. Offsetting this was an increase of $496 million in the car rental net fleet equity requirement. This variance in the net equity requirement is primarily due to three factors. First we maintained higher fleet balances in the current 12-month period to satisfy transaction day growth. Secondly there was a lower benefit from shifting to a higher percentage of risk cars in the 2007 versus 2008 period and thirdly we experienced timing issues inhibiting our ability to fully utilize the international fleet financing at the end of the quarter. The international issues was the retention of fleet in the UK after the maturity of the initial sale leaseback crunch, temporarily exceeding our risk car limit due to the seasonal ramp up of fleet in Australia and an increasing cars added in Europe between the French borrowing date and month end in 2008. This resulted in an increase in the amount of corporate funding required for the fleet at March 31. I am pleased to report however that these timing issues were resolved in April and we anticipate a more normalized advance rate for the full year. For full year 2008 we expect the car rental net equity requirement to continue to be a use of funds and for working capital to generate funds albeit at a lesser level than in 2007 when we were able to affect certain onetime changes that had a big impact. We have committed internally to increase operating focus on working capital and cash flow. To this end we are pushing balance sheet accountability down to the local operating units and as a result we expect to see the benefit of this in future quarters. As you can see our balance sheet is strong and we believe we are well positioned for growth. Now, let me turn the call back to Mark.
Mark P. Frissora : To sum up the first quarter we were challenged by US macroeconomic factors and pricing pressures as fleet supply exceeded rental demand on both of our businesses. However, in spite of these we beat all of our internal business plan targets. Volume growth for the reduced pricing impact profitability as fleet and other costs increased throughout the flow through from higher RPD or equipment rental rates. Our revenue stream diversification and our global footprint enabled us to achieve growth despite the slowing US economy. By executing on our cost and efficiency initiatives, by staying disciplined and focused we were successful in generating strong results during the quarter. I’m fairly encouraged with the future pricing trends in the US RAC industry going forward. Fleets continue to tighten industry wide helping to optimize yield management. For the full year, 2008 we are reaffirming our guidance. We expect improvement in all of our guidance metrics as shown on Slide 18 based on current economic conditions. We are forecasting total revenues to increase between $8.9 billion to $9 billion with car rental revenue growth of 2.5% to 3.5% and equipment rental revenue growth of 3% to 8%. Corporate EBITDA is projected to improve as well to $1.575 billion to $1.675 billion. We expect adjusted pre-tax and adjusted net income to also increase year-over-year and should be between $725 million and $750 million and between $450 and $470 million respectively. Using the notional tax rate of 34% and 325.5 million shares, the number of diluted shares outstanding as of the year ended December 31, 2007 adjusted earnings per share is expected to grow to between $1.38 to $1.44 per share. These earnings projections are weighted toward the back half of the year based on the seasonality of our businesses and our expectation of slightly less challenging macro environment. We project 2008 will be another year of improved cash flow with levered after tax cash flow after fleet growth to bet between $550 million and $650 million in 2008. Looking ahead we believe we have set realistic revenue and cost targets for our business in 2008 given our visibility for the remainder of the year. We expect to achieve our revenue growth agenda by expanding our rental networks in to other parts of the world through both acquisitions and organic growth and by increasing penetration in to existing products and markets. We remain committed to margin enhancement as we implement process improvement and streamline our costs. 2008 will be a challenging year but we believe our financial targets are achievable even in the current environment. Our focus on revenue generation and operating efficiency is critical and the whole team is motivated to execute on our plans with great discipline. In this environment we can be more conservative and hold off on discretionary spending on our businesses but we are taking a longer term view. I mentioned our incremental year-over-year investment of $16 million in the quarter in Hertz in our people, our facilities and our brand. This is fundamental to our operating strategy. Only by continuing to open up new locations, expand to new geographies, develop new technology, train our work force and expand the Hertz’s brand can we position ourselves for future growth an enhanced profitability. That is how we plan to maximize shareholder value now and in the years to come. Now we will take questions.
Operator: (Operator Instructions) Your first question comes from Christopher Agnew - Goldman Sachs.
Christopher Agnew – Goldman Sachs: In terms of advanced reservations you’re seeing in RAC in the second quarter, is there any color you can share in terms of mix? Specifically commercial versus leisure? Or, if you’re not able to get that granular maybe share some of your expectations.
Mark P. Frissora : I would tell you that leisure which represents roughly 40% of our revenues in the US is in fact showing positive trends. Commercial has continued to be under some pressure in the first quarter. I’ve seen that in to the second quarter but soon the new business will kick in. But, in general businesses travelers a lot of CEOs have cut back on T&E, travel and entertainment so we’ve seen some contraction on that. In terms of going forward we feel pretty good about what’s going to happen in the future base on the advanced reservations backlog as a whole.
Christopher Agnew – Goldman Sachs: You mentioned that fleets continued to tighten. What’s your flexibility there? Say advanced reservations are misleading and commercial and leisure suddenly slows down going in to end of second quarter, third quarter?
Mark P. Frissora : I think that in general when you look at advanced reservations, I should be explicit here we’re not seeing double digit growth rates in advanced reservations. I don’t think the industry is going to respond by adding amounts of fleet. In general we see industry conditions as tightening of the fleet all the way through the third quarter. I think most of our competitors from what we see on the lots and what we’ve experienced, what we’ve heard in the trade has said that this is going to be a year where most rental companies are going to tighten their fleet. They’re feeling the pinch of the economy in general and that provides for good pricing going forward in the year.
Christopher Agnew – Goldman Sachs: Off airport, you grew it 14% with insurance replacement business, maybe could you just comment what competitive response that’s drawing? And then also in the off airport business since you’ve been talking to low double digit rates but I thought that applied to the whole business and I think on the last call you mentioned there were a couple of factors in December that saw deceleration to 6% growth for the whole off airport piece. 1Q, we saw a continuation of that 6% growth, is there anything in particular we need to bear in mind that happened in the first quarter?
Mark P. Frissora : The only thing we saw in the first quarter was continued expansion we think of our share in to the off airport insurance replacement segment. So, that’s a third of the market of off airport. The other two segments which were commercial as well as leisure, those two segments suffer from the same issues that we saw in the general US airport. In general it was a good quarter; a solid quarter and we see that continuing going forward with double digit growth rate on transaction days in the insurance replacement segment. Joe, do you want to add any color to that?
Joseph R. Nothwang : Chris, you’re correct we did report some weakening in December but very positively all off airport business popped the middle of January forward and producing the 8.5% growth that we reported. In terms of your question on a rationality on pricing in this market, I would say that’s a good description of it. All competitors particularly Enterprise and Avis Budget whom we compete with on the insurance replacement have rational pricing strategies as we compete for these big accounts.
Operator: Your next question comes from Unidentified Analyst - Lehman Brothers.
Unidentified Analyst – Lehman Brothers: On your full year 2008 guidance in terms of the assumptions you were taking in to account with respect to maybe – you gave a little color on the pricing trends and hopefully the positive trends there continue, I was wondering in terms of maybe your assumptions in employments in the US what are you factoring in the for the second half of the year? And, are you baking in there maybe some more contribution from your international operations that should offset maybe any potential US weakness that we might see given the uncertain economic environment we’re in?
Mark P. Frissora : On employments we’re expecting very modest assumptions baked in to the back half of the year. I would say that the US, when we look at our revenue assumptions we’re probably assuming no more than a 1% improvement year-over-year on employments. In Europe we’re a little more bullish there. It’s probably going to be in the neighborhood of 5% to 6%. So, those are the assumptions baked in to the way we do our revenue guidance.
Unidentified Analyst – Lehman Brothers: Maybe just with respect maybe Joe can answer this but with respect to the used car market and you did a good job in tightening up the first quarter trends, maybe you can help us understand again what trends you’ve seen in the past with respect to a softening economic environment, how that tends to affect the used car market out there for the car rental age specifically.
Joseph R. Nothwang : First I’d like to clarify that even in the current environment the capacity to sell is no issue at all. We’re very strong on capacity and we could sell literally tens of thousands of cars if necessary. The advantage for us in accelerating our movement to risk cars is that we control the timing of when we bring cars to market. If there is pressure on certain models we can delay the sale of those models. We have seen an improvement in the trend in March because we are managing the make and models that we take to the market and we believe that trend is going to continue into the summer overcoming any overall macro economic impact of the market. This cost climate no question of that but we believe we’re managing it exceptionally well.
Mark P. Frissora : I’ll just add to that we have seen I want to emphasize this, positive residual trends. That wasn’t really stated in the script that we just took you through but we’re seeing positive residual trends and in fact our ability to manage in a tough environment again is accentuated by the fact that we do business with more OEMs than anyone else in the industry and it’s been a very laser focused strategy of ours and we’ve got 11 OEMs to deal with and in the US we’re very, very balanced into deciding which make and model we’re able to sell based on timing issues, residual issues by make and model.
Unidentified Analyst – Lehman Brothers: On the Hertz side with respect to your overall outlook especially on the fleet age, at what level do you get your fleet age where you decide now it’s time to reduce that, how far can you stretch that and for the full year should we expect margin contraction to continue on a year-over-year basis at least on the Hertz side?
Mark P. Frissora : In general aging of the fleet our biggest competitor is at about 39 months. We think we can go to 34 or to 35 months without having any competitive disadvantage and that’s what our target is. We did say in the script that we are going to improve our utilization in the back half of the year. We’re seeing that right now and we feel very confident that we’ll have significant movements in the way our fleet utilizations right now will tally in the back half of the year. That will obviously help our margin contraction issue as well.
Gerald A. Plescia : On the fleet age, you’re absolutely right, we have plenty of room there even beyond what we expect to age this year. Also related to the margin we expect to have the same activity we had in the first quarter. We actually went to auction to sell some earth moving that impacted our margins where we continue to right size that fleet. We don’t expect to have that level of activity going forward because we’ll be more balanced as we move and also some of the efficiencies we’re building in at the international expansion will help us improve margins. We’ve built in a forecast for the weaker US activity and the growth from our specialty equipment fleet balancing and international operations should improve our position in the fall in quarters without the same headwinds on selling used equipment in the first quarter.
Operator: Your next question comes from Christina Wu - Morgan Stanley.
Christina Wu – Morgan Stanley: We talked a little bit about your employment expectations, I was also wondering if you could provide some expectations for non-residential construction spending, industrial growth, some of the larger segments on the Hertz side of the business?
Mark P. Frissora : Just in general on the non-res construction activity we baked into our forecast for revenues this year about a 6% contraction year-over-year versus what was the run rate last year which was already contracted. I think that we’re going to certainly see that as we go forward. Gerry, do you want to expand on some of the other parts of the question she asked.
Gerald A. Plescia : Related to the construction side, again we talked about our base business contracting lower to mid-single digits within our forecast and that’s backed up by Dodge and some other components that are forecasting slower growth. I think we’ve already seen that occurring in the industry within our business based on the US construction decline. We believe that will continue and we built into our forecast improvement in the industrial sector, improvement in some of our fleet specialty lines. The industrial sector you’ll see forecasts that say it’s going to be flat to slightly negative. Most of that is related to the big surge of ethanol plants and ethanol plant activity that happened in ‘07 so although the forecast is flat we believe there’s plenty of opportunity in the petro-chem area for us to still take market share and grow that sector. We are forecasting stronger growth continue in ‘08 even though the overall macro is about flat and then also building in some of the decline in the construction market offset by the other initiatives that we have. Basically continuing to see what occurred in the first quarter.
Christina Wu – Morgan Stanley: Pricing has declined over the past couple of quarters, has that been across the board? You just described a great growth environment in the industrial segment, for example, are you getting pricing increases in some of the segments?
Gerald A. Plescia : Yes, overall just because of the slower non-res construction market there is some pressure on pricing. We’re not seeing steep declines in that area but what’s offsetting some of that weaker demand are better pricing in the most active industrial markets in North America.
Christina Wu – Morgan Stanley: Is part of your strategy to proactively decrease the prices or has your pricing decline really been more of a response to the competitive environment?
Gerald A. Plescia : We’re very selective about that response, but the answer is the latter. We are reacting to the competitive environment in certain markets in certain places where there is an excess fleet on the Hertz side or the industry side where we are participating very selectively. The rest of our strategy is to try and increase prices where we can where utilization is higher and where there is a stronger industrial base.
Mark P. Frissora : We do a weekly detailed pricing review and I would tell you that looking at by category of equipment and then even by market segment we are improving and increasing our prices year-over-year in every category we can. We continue to try to be the price leader, if you will, in the category. But it’s a difficult environment obviously on the what I call the construction equipment side of the equation. We felt pretty good about a 1% decline year-over-year wasn’t bad given some of the macros in the US on non-res construction environment.
Christina Wu – Morgan Stanley: Shifting gears for one last question, you had commented that in Europe you’re seeing longer rental lengths, I think it was up 7.9% year-over-year, I understand the shift in the US because you’re going to the off airport market or focusing on leisure, what’s causing that shift in the European market?
Mark P. Frissora : Yes, some very good things actually, very profitable things. Michel Taride is on the call, Michel why don’t you just talk through the strategy that we started probably a year and a half, two years ago on vans and trucks and some other things in leisure that’s driving that.
Michel Taride : That’s right. We have length increases in all our key segments. We are developing very strongly the mostly rental business in all segments and that’s true for both commercial and leisure. So that’s one big part of the explanation. The second part is that as Mark just mentioned we are also growing our vans and trucks business in Europe a lot of which certain countries is what we call long term rentals meaning three, four month rental. That’s very true for example in the UK or in Germany and it’s a significant portion of the business whereas it’s about 15% of our revenue and growing actually faster than the car rental business itself, double digits right now. That’s what is explaining the increasing lines which is indeed significant.
Christina Wu – Morgan Stanley: It sounds like it would be the smaller businesses. Is that your target customer for the monthly rentals?
Michel Taride : What do you mean by smaller businesses?
Christina Wu – Morgan Stanley: Is it a business client or is it more, it’s probably not going to be a leisure client.
Michel Taride : It is indeed a commercial client. It’s business absolutely.
Operator: Your next question comes from William Truelove - UBS.
William Truelove – UBS: You mentioned about the leisure travel rental car business picking up. Is that picking up just in transaction volume or also in prices?
Mark P. Frissora : Just in terms of transaction volume we’re saying that business has a stronger trend line to it than let’s just say the commercial segment that we’ve seen and when we look at advance reservations again that’s what we’re seeing.
William Truelove – UBS: Are you getting much back on price?
Mark P. Frissora : No. Pricing in general what you’ll see is that pricing in general improves obviously and leisure often times faster than it does in commercial accounts. The reason for that is in commercial accounts you have contracts and they’re for one year, sometimes two year periods depending on the customer and those contracts are renewed every month. They’re annualized. But leisure pricing you get a quicker bang for the buck if you get tighter fleets quickly.
William Truelove – UBS: Just to go back to the point about the US residual values, you mentioned that maybe you didn’t focus so much on the positive residual trends, but on your Slide 14 you do say that the residual values are under pressure year-over-year and down 89 basis points and talked about flexibility and what you could sell based upon the residual values you’re receiving so my question was twofold, one are you changing the mix of what you’re selling and that was why you only did 89 basis points. Would it have been worse if you’re not changing the mix and two what exactly do you mean by positive residual tends given that it’s still down year-over-year? Can you just clarify for me those two points?
Joseph R. Nothwang : Two factors and you touched on one of them. We are managing the mix of what we sell and then we are taking advantage of the flexibility of a risk sweep and we are extending the average age of the cars and we did so by approximately one month. So instead of selling at about 13 months our average age of car sold was about 14 months.
Mark P. Frissora : Just so I’m clear with you on this, on a normal residual when you sell an optimized, if you will, your pricing and the way the maintenance cost, etcetera occur on a risk car versus a program car you always sell a risk car and hold it longer than you do a program car. Program cars sometimes you’ll turn back in the way the depreciation schedules are set up with the OEMs after nine months and so our fleet has gotten a little older as we moved to higher risk mix. And that’s helping obviously in terms of managing fleet costs for us as well. The outlook on residuals is less negative. I don’t want to make you think that it’s going to be some big positive number going forward but it’s much less negative than it was, let’s say, than what we saw in the first quarter and in the fourth quarter. Okay?
Operator: Your next question comes from Brandt Sakakeeny - Deutsche Bank.
Analyst for Brandt Sakakeeny – Deutsche Bank Securities: I was wondering if you could provide a little bit more color on what you described on the Hertz segment in terms of lower proceeds on sales of used equipment. Is that more a function of the mix of used equipment that’s being sold or how the equipment is being disposed of?
Gerald A. Plescia : The quarter was highlighted by the fact that we did sell more earth moving equipment, mid to large size earth moving, and we went to auction with a slightly greater percentage than we’ve done historically. It was more of a factor of the quick sale aspect of how we sold the fleet which really put some pressure on the net proceeds. Normally we’re selling more of a quantity at retail or wholesale which is a more orderly sale which keeps the residuals up. That was the biggest factor in the quarter year-over-year.
Analyst for Brandt Sakakeeny – Deutsche Bank Securities: In prior releases you’ve provided us the direct operating expenses by segment as a percentage of revenue. I was wondering if you could give that to us?
Mark P. Frissora : We can follow up on the call. I don’t know why we didn’t provide it. We were down 200 basis points when we throw all costs together year-over-year on an adjusted basis. So the number is 200 basis points lower looking at DOE, SG&A and what we call the interest expense associated with the fleet. That’s the total. I’ll have to call. Lauren will follow up with you and give you some break outs. Okay?
Lauren Babus: If it’s in the release we can work with you.
Operator: Your next question comes from Emily Shanks - Lehman Brothers.
Emily Shanks – Lehman Brothers: Just a quick question for you on [HERC], I know you made the very tiny acquisition here in the US in the Northeast and then you also referenced the acquisition you made in Spain. I know that in the past you’ve really focused on growing that business organically. Has your overall operating model changed? Would you consider more acquisitions, simply larger in size at all in that business?
Mark P. Frissora : No, not larger acquisitions. Small acquisitions has always been part of our strategy. Right now it’s opportunistic to pick up some of these companies as everyone is trading at lower EBITDA multiples and there’s a little bit more pressure in some markets. We’re also trying to shift, if you will, our profile into industrial and power generation and so again it’s opportunistic for us to be able to buy some of those companies in today’s environment. It’s really part of what has been a strategy on an ongoing basis although recently because of some of the pressure we’re able to buy these companies in a way that’s accretive very quickly and help us offset any issues that you have in the non-res construction market here in the US. Gerry, do you want to expand on that at all?
Gerald A. Plescia : Just the fact that one company was an aerial based fleet component, the other was power generation as Mark said. It serves two purposes, quicker into the market and also helps to diversify at the same time into those fleet lines.
Emily Shanks – Lehman Brothers: Elyse, I wanted to make sure I caught your comments at the very end of your script correctly. Am I to assume that the uptick in the ABL draw was a result of the increased advance rates required for the international fleet? What I’m trying to get at it is understand if that increase ABL draw was as expected or it just looks a little high to me on a sequential basis.
Elyse Douglas : Actually it relates to the timing issues that we talked about in the international fleet financing. So that if you were to quantify those it’s about $300 million. We didn’t borrow under the fleet financing for that $300 million which is really a timing issue and actually it was funded under the ABL.
Emily Shanks – Lehman Brothers: And just to follow up, that has since worked out?
Elyse Douglas : That’s correct. It was just a timing issue and we expect normalized advance rates going forward.
Emily Shanks – Lehman Brothers: Is there any way to break out what your expectations are around or at least on CapEx specific to Hertz? I think during the prepared comments you said that now you expect net cutbacks to be less than $150 million. I was really looking for color around maintenance rose and then fleet proceeds?
Gerald A. Plescia : The biggest component of that would be approximately $300 million we would call maintenance CapEx and the growth in this scenario is essentially negative about $150 or so on the growth CapEx.
Operator: Your next question comes from Michael Millman - Soleil Securities.
Michael Millman – Soleil-Millman Securities: On HERC given some headwinds you’ve discussed why is the acquisition still double digit acquisition gross?
Mark P. Frissora : You mean acquisition you’re referring to when you see the 12%? That’s the year-over-year fleet size I think is what you’re referring to. Keep in mind that that large number is foreign exchange impacted so about 30% plus is because of the fleet sizes in our foreign operations. That’s just a year-over-year comparison. The actual fleet year-over-year is only about 7% to 8% in apples to apples dollars. It’s affected by where we’re making investments than in the foreign exchange difference year-over-year is really inflating that number. The actual fleet from the end of December to the end of the first quarter is down over 2% in total worldwide HERC.
Michael Millman – Soleil-Millman Securities: And that’s adjusting for the foreign exchange?
Mark P. Frissora : Yes.
Michael Millman – Soleil-Millman Securities: On RAC, why is an increase in holding period improving residual value?
Mark P. Frissora : I don’t know if I can answer that question. I know that our overall fleet costs as you knew were up 2.4% and you’re asking the question about residual values and whether or not that is impacted by the fact that we have longer depreciation.
Michael Millman – Soleil-Millman Securities: There was a comment that residual values were helped by a lengthening of the holding period.
Elyse Douglas : What is does affect is just the gain or the loss itself. So for instance we depreciate a car over a straight line basis. If we sell that car in 12 months versus 14 months it affects the magnitude of the gain or loss.
Michael Millman – Soleil-Millman Securities: Wouldn’t the residual value move in line with the age?
Elyse Douglas : When you buy a car the actual market value is not really straight line. So until you get to a certain period of time do you really hit that breakeven point?
Michael Millman – Soleil-Millman Securities: So the longer you hold it, the better off you are?
Elyse Douglas : I think right at the point when we can talk about it a little later but the residual value on a 12 or 14 month car is not going to be as impacted dramatically. The slope will change. It will flatten out and that’s the point.
Michael Millman – Soleil-Millman Securities: On current conditions, you’ve indicated that you’re seeing some improvement in the leisure market, couple items on that. One is related primarily to seasonality. Two you didn’t mention much about April I think you said was flat and March, I was wondering about April and regarding May we’re seeing some improvement in leisure pricing. Can you give us some idea as to what that is?
Gerald A. Plescia : Let me respond in two ways. On the improving trends, let’s look at the reservation growth as well as the pricing. On the reservation growth we have positive reservation growth for all dates forward. The real turning point is about May 11. That’s where we see the improvement of the trend and we get into solid single digits as we move into June and July. On the pricing we haven’t we haven’t commented on forward pricing previously and I’ll refer to what Mark said. We raised prices this week and we are seeing reasonably good competitive response.
Michael Millman – Soleil-Millman Securities: And can you give us what prices were in April?
Mark P. Frissora : No. No, we can’t yet. Sorry.
Operator:
Ranjeet Batra – JP Morgan: Could you comment on the trajectory of volume growth and pricing in HERC during the first quarter? I think you addressed that in the Rent A Car segment. Just curious about the same trajectory in HERC.
Gerald A. Plescia : It actually improved throughout the quarter. March was from a volume perspective particularly in North America the volume was at its lowest point in January and we had progressive improvement all the way through the end of March. It was weighted toward the back end of the quarter.
Ranjeet Batra – JP Morgan: And pricing?
Gerald A. Plescia : Pricing was pretty stable throughout the quarter. The 1.3% negative in the US was fairly stable throughout the quarter.
Ranjeet Batra – JP Morgan: How much forward visibility do you have on HERC equipment rental similar to advance reservations for car rental? What sort of equivalent on equipment rental?
Mark P. Frissora : We obviously don’t have a reservation bank like car rental but we do have as far as our national account base which represents almost half of our business, the largest accounts, we have the visibility of their project flow. We have relationships that give us that indication. We also look at obviously the macro economic reports, non-res reports that are put out by Dodge and things like that. So the combination of the two gives us some pretty good visibility six months out.
Ranjeet Batra – JP Morgan: Could you remind us if LIBOR resets are factored into your guidance during ‘08 for pre-tax income?
Elyse Douglas : Yes.
Operator: Your next question comes from Matt Vitorioso - Barclay.
Matt Vitorioso – Barclays Capital: Just curious about the corporate EBITDA margin at Rent A Car. Over the long term is the change in mix into off airport, does that have a long term affect on margin or does the lower cost of off airport offset the lower pricing?
Mark P. Frissora : In general pre-tax margins for example in the off airport business model equal that of the airport. That’s after the stores mature and we’ve had a couple years to develop a normal business in that model. The pre-tax and EBITDA margins, the margins would move pretty much in concert. We continue to say that over the long term our EBITDA margins will improve to 19% to 21% and feel confident at that projection.
Matt Vitorioso – Barclays Capital: You had talked about the fleet equity requirement reversing itself in the second quarter but still being a use of cash for the full year, can you give us some idea of the magnitude of the use of cash it might be for the year? Did you already provide that?
Elyse Douglas : No we haven’t provided that but it should be in line with the growth in the fleet.
Matt Vitorioso – Barclays Capital: Have you ever provided a breakdown of your fleet mix for HERC as far as how much of your fleet is currently earth moving versus aerial versus some of the other categories you might break it down into?
Mark P. Frissora : I think we’ve done that internally.
Gerald A. Plescia : Generally, a little over half of our fleet is a mix of earth moving and aerial. Previously our earth moving fleet had been within the last two years as high as 30% to 35% of the fleet. That’s down now to about 25% and the aerial component which is obviously feeding from the industrial growth and other strength in that segment has grown from about 20% to over 25%, 26%, 27%. Those are the two largest categories and then it trickles down from there. We have a truck component that’s the next largest of about 11% or 12% and then on and on the categories get smaller and smaller, power generation, concrete equipment, different welders and other specific categories get smaller. But those are the two largest and those are roughly the percentages.
Matt Vitorioso – Barclays Capital: Are there just a couple high profile applications that these trucks go into as far as what’s their end use, just generally? What do these trucks do?
Gerald A. Plescia : It’s a wide range of trucks. It’s everything from a Ford Ranger, a small truck that’s rented by a contractor on a jobsite, there’s a lot of that, all the way up to 25 or 30 ton articulated dump trucks on infrastructure work, large site construction, things like that. We have water trucks, the watering of different construction sites is a significant part of the US construction market. It’s a wide gamut of things from very small trucks up through those large ones.
Operator: Your next question comes from Frank Jarman - Goldman Sachs.
Frank Jarman – Goldman Sachs: Last quarter you mentioned the potential for you to potential buy back some bank debtor bonds in the open market. Can you just update us on those actions and any future plans you might have?
Elyse Douglas : We continually look at that. Our bonds have performed very well over the past couple weeks and some of them are even trading at par today. So it’s not as big an opportunity as it has been in the past. We continue to evaluate. We have no immediate plans right now but we’ll see how things progress as the year goes on.
Frank Jarman – Goldman Sachs: You touched on the weakness at the monocline insurers and the potential for an early AM event and I’m it’s pretty tough to place a probability on a scenario like that playing out, but is there anything that you are doing today to mitigate that risk or is it all potentially reactionary measures that you have to take in an early AM type of scenario?
Elyse Douglas : We’re certainly talking about refinancing alternatives and that would be one way that we would position ourselves if there was an event. So we are having active dialog in terms of looking at financing alternatives.
Frank Jarman – Goldman Sachs: Just the last question, on a monthly deprecation rate for RAC is there any sense you can give me for what that number is?
Mark P. Frissora : I don’t know if we have done that in the past, have we? Monthly depreciation rates? Have we given that?
Elyse Douglas : I can work with you given the information we have. It would be worldwide number.
Mark P. Frissora : You can calculate it by backing into it. But she’ll work with you on that, okay?
Operator: Your next question comes from [Clark Orski] - JDP Investment Advisors.
[Clark Orski] – JDP Investment Advisors:  Elyse can you just restate what you said about the per unit depreciation rates? I didn’t catch that. And, tie that in to the year-over-year increase in fleet D&A which I think was up about 13%.
Elyse Douglas : What we said was the per unit depreciation rate in the US was up only 2.4%. So, that would include the gain or loss on the sales as well as the car cost increases so we were very pleased with that result.
[Clark Orski] – JDP Investment Advisors: And the 13% increase, the absolute number was that just mainly increase in the size of the fleet.
Elyse Douglas : A lot of it has to do with the size of the fleet, yes.
[Clark Orski] – JDP Investment Advisors: Have you articulated a goal for net debt reduction this year?
Elyse Douglas : Well, it’s in line with our cash flow guidance.
Mark P. Frissora : The driver of the 13% was the international component of the fleet. We talked to you about having fleet costs I think up roughly 10% year-over-year on the international fleet. Foreign exchange is a driver.
[Clark Orski] – JDP Investment Advisors: The net debt reduction you said was in line with?
Elyse Douglas : Cash flow guidance the $550 to $650.
Operator: I’ll turn it back to now Mark Frissora.
Mark P. Frissora : Once again thanks for joining us today and we really appreciate your interest in the company.